Operator: Good day, and thank you for standing by, and welcome to MaxCyte’s Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to introduce your host for today’s call, Sean Menarguez, Senior Director of Innovation and Business Development. Please go ahead.
Sean Menarguez: Well, thank you, Justin and good afternoon, everyone. My name is Sean Menarguez and I am the Director of Innovation and Business Development here at MaxCyte. Thank you all for participating in today’s conference call. On the call from MaxCyte is Doug Doerfler, President and Chief Executive Officer; and Douglas Swirsky, Chief Financial Officer. Earlier today, MaxCyte released financial results for the third quarter ended September 30, 2023. A copy of the press release is available on the company’s website. Before we begin, I need to read the following statement. Statements or comments made during this call maybe forward-looking statements within the meaning of federal securities laws. Any statements contained in this call that relate to expectations or predictions of future events, results or performance are forward-looking statements. Actual results may differ materially from those expressed or implied in any forward-looking statements due to a variety of factors, which are discussed in detail in our SEC filings. The company undertakes no obligation to publicly update any forward-looking statements, whether because of new information, future events or otherwise. Now with that, I will turn the call over to Doug.
Doug Doerfler: Thank you, Sean. Good afternoon, everyone, and thank you for joining MaxCyte's third quarter 2023 earnings call. I will begin with a discussion of our business and operational highlights during the quarter, followed by a detailed financial review from Doug Swirsky, DJ, our financial, our Chief Financial Officer. We will then open the call for questions. MaxCyte reported $8 million in total revenue in the third quarter at the high end of our pre-announced revenue range. Core revenue was $6.6 million, also at the high end of our pre-announced range. Over the last month, the business has performed in line with the expectations we laid out on our call on October 4, and today, we are reiterating our revenue guidance for the full year of 2023. The operating environment for our customers has largely remained unchanged from when we spoke in October. Our primary focus remains on driving commercial execution to improve performance across our business and the commercial organization at MaxCyte is actively working to increase and expand sales opportunities for the balance of 2023 and into 2024. I will briefly revisit some of the challenges we are facing that drove the pre-announced reduction in our revenue guidance which we pointed to on our call on October 4. The primary driver of core business performance was softness and processing assemblies or PA sales. We continue to believe can be attributed to these three factors. Early stage customers in cell therapy and drug discovery conserving spend and reevaluating their pipeline portfolio and R&D initiatives. Customers built up inventory in 2022 and due to the prioritization of programs and reduction in spend, the existing inventory has covered more of their PA needs. And third, clinical SPL partners delaying clinical timelines due to challenges and obtaining additional financing for their clinical operations. Another factor in the weakness of our core business performance was early stage customers becoming incrementally more conservative on capital expenditures as the year has progressed, which has impacted our instrument placements. Though we have seen the macroeconomic operating environment play out unfavorably this year, we continue to see cell therapy industry trends that favor MaxCyte's platform. The industry continues to move toward non-viral cell engineering, approaches that include multiple pathway engineering steps across many diseases. Specifically, our partners continue to expand their cell therapy indications into new unmet needs, including autoimmune disease, providing us with the opportunity to support our partners as they scale up and scale out their manufacturing process. Furthermore, developers are increasing the complexity of their cell therapy product with multiple edits on the cell, which positions MaxCyte well given the platform's high cell engineering performance across a wide variety of gene edits and gene edited modalities. Developers are also looking into multiple doses and/or increased dosing regiments for complex indications, which further supports the market need for engineered large cell volumes. Our customers and partners can leverage our scientific, technical, and regulatory support and capabilities to optimize the clinical manufacturing process for the growing set of cell therapy applications. Just this year we signed five SPL partnerships which highlights the value that our platform brings to our customers. We continue to see a healthy pipeline of potential partners. All-in-all, we are encouraged by the non-viral engineered cell therapy trends in addition to the potential for our partners to make an impact as they progress their programs through the clinic and reach commercialization. We remain highly engaged with our customers, both current and prospective, and are excited by the opportunity to expand our SPL partnership portfolio and grow our revenue. In the third quarter, we reported SPL program-related revenues of $1.4 million and remain confident that we will at least meet our guidance of approximately $6 million this year. We believe this high value revenue line will continue to be meaningful in the coming years as several waves of different therapies we support potentially come to market. We are excited by partners' progress and look forward to the potential impact of therapies that utilize MaxCyte's platform. Looking ahead, there is substantial clinical milestone and commercial revenue opportunity for MaxCyte as our partners move toward late stage clinical development and commercialization. And what would be the first commercially approved product enabled by our platform, CRISPR, Vertex exa-cel is nearing the PDUFA date of December 8, 2023 and March 30, 2024 for sickle cell and beta thalassemia respectively. Just last week, on October 31, the FDA held an outcome meeting to discuss the treatment which highlights the therapeutic benefit of exa-cel and the important medical advance for the field and for patients. As a reminder, we believe that all necessary investments in manufacturing and regulatory quality have been made on our end to support exa-cel's commercial launch. We look forward to the potential FDA approval of the first non-viral engineered cell therapy product validating MaxCyte's platform, and which would also result in a significant milestone payment to us under our partnership with Vertex. We continue to be excited about the prospects of the VLx platform and our expansion into the bioprocessing market. To provide some context we are looking to help our customers improve workflow efficiency and accelerate time for the pre-clinical and early stage manufacture of monoclonal antibodies, recombinant proteins, and vaccines. The VLx has a unique capability to enable rapid production of transiently expressed proteins at larger scale for preclinical and early clinical use in a much more efficient time horizon than the standard practice. As a result, customers will be able to evaluate more pre-clinical leads at an appropriate scale and derive conclusions from late-stage pre-clinical research activities sooner than they normally would, enabling them to proceed with development in a much faster timeframe. The efficiency that VLx brings to the process can potentially accelerate important decisions on late-stage preclinical development to enable developers to prioritize their clinical investments to the most promising assets. We believe that the current market opportunity for the VLx has across approximately 3,000 preclinical assets in monoclonal antibody, recombinant protein, and vaccine development and we are optimistic about our opportunity in the coming years. To lead this effort, we recently appointed Ali Soleymannezhad, as Executive Vice President of Bioprocessing. Ali has been an important addition to the leadership team at MaxCyte with almost 20 years of experience in Biomanufacturing, Bioprocessing, and Bioanalysis, including serving as Executive Vice President for separations and purification at Tosoh Bioscience prior to joining MaxCyte. We firmly believe that he will guide the future of MaxCyte’s Bioprocessing business, beginning with the growth of the VLx platform. For the remainder of 2023 and into 2024, we are focused on supporting our customers and partners through targeted investments. We have already made substantial progress in enhancing our infrastructure and scientific and manufacturing capabilities to support customers pursuing complex cell therapies in the clinic. as well as when they reach commercialization. Over time we believe the investments we are making today will derive substantial incremental value as we support multiple partners at various stages of development and commercial activity. In closing, we continue to navigate the current operating environment with tact and flexibility. MaxCyte remains committed to supporting our current SPL partners in their program development and further expanding our portfolio partnerships. With that I will now turn the call over to DJ to discuss our financial results. DJ?
Douglas Swirsky: Thanks, Doug. Hello, everyone. Total revenue in the third quarter of 2023 was $8 million compared to $10.6 million in the third quarter of 2022, representing a 25% decline. In the third quarter, we reported core revenue of $6.6 million compared to $9.9 million in the comparable prior year quarter, representing a 33% decline. This includes revenue from cell therapy customers of 4.7 million and revenue from drug discovery customers of 1.9 million, which declined 40% and 5% year-over-year respectively. The decline in revenues was primarily the result of softer PA sales as well as weaker instrument sales, primarily in cell therapy due to the challenging funding environment. Revenue from instrument and PA sales were down 44% in the third quarter compared to the previous year, and revenue from leased instruments declined 11% driven by the challenging operating environment that our customers continue to face. We recognized 1.4 million of SPL program related revenue in the third quarter of 2023 as expected due to our partners continued progress through the clinic compared to 0.8 million of SPL program related revenue in the third quarter of 2022. Moving down the P&L. Gross margin was 90% in the third quarter of 2023 compared to 87% in the third quarter of the prior year, driven by our mixed between core and SPL program related revenue. Total operating expenses for the third quarter of 2023 were $21.2 million compared to $17 million in the third quarter of 2022. The overall increase in operating expenses was primarily driven by R&D, sales and marketing, and manufacturing expenses. The company continues to strategically invest in commercial sales and marketing operations, innovative product development and field application scientists, automated manufacturing capabilities, as well as business and corporate development to drive long-term growth. We finished the third quarter with combined total cash and cash equivalents and investments of $208.7 million and of course, no debt. Moving to our full year 2023 guidance. We updated our outlook on our third quarter preliminary results conference call on October 4, and we are reiterating that outlook today as we expect total revenue for 2023 to be approximately $34 million to $36 million. Core revenue is expected to be approximately $28 million to $30 million for the year and SPL program related revenue expectations remain unchanged from our previous guidance at approximately $6 million for the year. Our updated guidance incorporates cautiousness around the challenging funding environment and customer purchasing patterns for the remainder of 2023. As we have discussed previously, the timing of partnership revenue is dependent upon our customers' clinical and regulatory progress, and it's fundamentally more difficult to predict than our core revenues, which clearly has also been difficult to forecast this year due to the challenging operating environment discussed earlier. Finally, MaxCyte remains in a strong financial position and continues to expect to end 2023 with approximately $200 million cash, cash equivalents and investments and no debt on our balance sheet. Our expected cash burn for 2023 is approximately $27 million in line with our 2022 cash burn of approximately $28 million. We have prudently managed our expenses and burn in 2023 and executed disciplined cost management in order to position the company to achieve our long-term goals. I would like to close by reiterating that we remain confident in our 2023 revenue outlook and we believe that our modest cash burn and balance sheet will support our future plans for long-term growth. Now, I'll turn the call back over to Doug.
Doug Doerfler: Well, thank you, DJ. Overall, despite the challenging operating environment this year, we firmly believe in the long-term outlook for MaxCyte. We're excited about the potential of our partnerships as they progress their assets through the clinic, and we remain committed to expanding our partnership portfolio to support the development of advanced cell-based therapeutics in the growing cell and gene therapy industry. As always, we thank our MaxCyte team, as well as our board, suppliers, investors, partners, patients, and the great industry that we have the honor of serving. With that, I will turn the call back over to Justin for the Q&A. Justin?
Operator: Thank you. [Operator Instructions] And our first question comes from Dan Arias. Your line is now open.
Dan Arias: How are you doing, guys? Thanks for the questions here. Doug, maybe just a couple on the instrumentation side, specifically on cell therapy. Do you expect the lease versus sold dynamic to change at all in light of the things that are going on in the industry, at least has become a bigger part of that mix. And then, on the VLx system, appreciate your comments there. Anything quantitative that you might be able to add on the launch? And then along those lines, I mean, when we think about usage there, I'm curious whether you think some of this program prioritization that's taking place across the industry could impact the adoption curve just in the sense that, to your point, it's a good tool for evaluating preclinical assets. Some of those are being backburnered right now, so maybe less of a need for that kind of horsepower. Do you see that as a likely outcome or not really? Thanks.
Doug Doerfler: There's a lot of questions there, Dan.
Dan Arias: Yeah, there are, sorry about that.
Doug Doerfler: It's okay, let me talk about, let me take two cuts at this and see if I answer all your questions. On the kind of the business model instrument side, I mean, I made a comment about being tactful with our partners and I think it's truly important that we understand the situation therein. We look at our business model and we're going to make changes as we feel are appropriate for helping our partners. And we're seeing the rationalization of these pipelines And I do foresee us, we may very well make some changes to our approach for the business model, although, I don't think there are going to be major approaches. They'll be around the edges. And again, thinking through the new use cases for our technology, moving into autoimmune disease where you have large patient populations. So I think you're seeing the cell therapy industry moving from autologous blood center therapies to moving into solid tumors and now autoimmune where it's going to open up to serve populations. So we're excited about that. And that, of course, is going to have an impact on our business model. On the VLx, quantitatively we put a slide in the deck that laid out the difference between what we believe our system and being able to produce a protein in a couple months versus the traditional way, which could be six months plus. I think that when there's more rationalization, I think there's going to be a lot more attention placed on speed to market, speed to decisions, and I think that's exactly what we're focusing our attention on. It's whatever we can do to reduce the early stage preclinical development timeline for these partners. And they could be big pharma, they could be a relatively early stage ADC company. They're all looking to do the same thing and that's to get better products into the market faster. And if we can cut four, six months, a year off of that timeframe, we think that's pretty valuable. So we're excited, we think, that VLx is coming out at the right time to address some of the problems, I think, that we're seeing in the industry at large.
Dan Arias: Okay. Appreciate you are ticking through those there. Maybe just one quick follow-up to your point. We are closing in on this XSL (ph) decision here. Obviously, we'll see how that ends up, but if we were to assume approval, I'm just curious about your expectation for a ramp in instrument utilization and consumables consumption as scale presumably takes place there, scale up presumably takes place there.
Doug Doerfler: Well, we obviously can't give you any guidance in terms of what ‘24 looks like, and this would be a ‘24 event. That said, we have been investing in ensuring that we've got instrumentation support from Vertex's side and CRISPR's side in terms of manufacturing, and we're ready to scale up. I think we just saw an announcement they made, I guess, yesterday in a press release about getting a breakthrough therapeutic designation in Saudi Arabia. So it'll be interesting to see how this business develops and expands, but be assured that we're prepared fully to support them and execute against whatever plan they believe makes the most sense from them commercially.
Dan Arias: Okay. Thank you, Doug.
Doug Doerfler: Thank you.
Operator: Thank you. One moment, please. Our next question comes from Jacob Johnson with Stephen’s Inc.
Hannah Hefley: Hey, Good afternoon. This is actually Hannah on for Jacob. You've talked about expanding your geographic reach. Is this still a priority in this environment?
Doug Doerfler: That's a good question. I think the world's changing, of course. I think we're all focused on how we can navigate the China situation. I think we are, frankly, I think this is more of an organic expansion. The science around cell therapy is expanding well beyond the U.S. and Europe, and moving into Eastern Europe, it's moving into South America, moving certainly to APAC. And so we're following where those hubs of activity are. For us to enter into that, a new geography, it could be as simple as us bringing a field application scientist and a salesperson into that account. It could be as extensive as bringing in a new distributor or building out more on the land field applications people. So I think our interest is always to follow the science, always follow where the commercial cell therapy field is heading, and then we'll make decisions on what makes the most sense from an investment perspective for us.
Hannah Hefley: Thanks. And then you're tracking ahead of your usual three to four SPL additions per year with five this year. How many are you expecting to add total in 2023? And do you expect the annual rate of additions to continue to outpace three to four in the future?
Doug Doerfler: We'll talk about ‘24 when we give guidance, so I want to resist talking about that. I think we're pretty comfortable with the five we did this year. We really, I don't think we are in a position to talk about anything additional in 2023.
Hannah Hefley: Great. Thanks. I'll leave it there.
Doug Doerfler: Thank you.
Operator: Thank you. One moment, please. Our next question comes from the line of Matt Larew with William Blair.
Matt Larew: Good afternoon. There was earlier this year sort of -- it seemed like around one of risk restructuring pipeline power stations and then it seems that over the last couple of months, we've maybe had around two and a number of your SPL partners have been impacted by that in terms of risk restructuring. Just would be curious for your perspective on how much potentially more there is to go, just in your interaction with SPL partners or core revenue or core customers, how much they've really cut down programs to true high-priority assets? How much they've brought down their teams from a size perspective, just as maybe as a different way to gauge what inning of sort of the drawdown in the industry we're at?
Doug Doerfler: I'm trying to -- what is the question that I'm trying to understand. I agree with you that we're in a situation right now where we've got companies that are in partners who are scaling back. We've seen a couple of them just most recently, Lyle, (ph) for instance, and [indiscernible] did another one. So we're keeping pace with those customers. We're being close to those. What we're seeing is that when the focus and the rationalization is being drawn toward our products that we're currently involved with them. So that's a good sign. I think overall, it's a strong point for MaxCyte that we're working on those lead assets. I think it's very difficult for us to try to predict where the next situation is. I mean companies won't share that with us, obviously. They're going to announce them -- when they announce it and we're going to react and hopefully manage well with them as they make those decisions. I'm not sure I answered your question now, is there something more specific that you're looking for? I just want to be responsive to you, Matt.
Matt Larew: No, I guess it was maybe not intentionally big. But I think you addressed [indiscernible] on what I was kind of hoping to get at. So the second one would be you referenced, I think Dan's question around sales versus lease of instruments that you're willing to make changes as appropriate health partners. So that may be an internal change in response to the macro environment. Have you noticed or were you aware of any sort of external changes, be it competitive behavior around getting away instruments or cutting prices? Have you noticed any price pressure or additional competition kind of in a changing macro environment?
Doug Doerfler: I think our value proposition still holds true. I mean it's all about reducing risk and accelerating development. And those are two things that all these companies obviously, want to do. One indication is our gross margins, 90% gross margins in the quarter. And I think that's a tribute to our ability to maintain pricing in the marketplace. So just to give you those kind of data points right now, we're feeling pretty comfortable with where we are in terms of competition. We're not really seeing anything in kind of in our area. We have mentioned [indiscernible] in the past. We've seen a lot come in and out. A lot of companies that are trying to get into the space, kind of newer companies that are trying to figure out how they can take us on. I think that's just a healthy environment. It points to the -- I think it points to the importance of non-viral cell engineering in the future. And I would project that after exa-cel gets approved, there will even be more people interested in trying to figure out how big that market is and how they can participate. That said, we're in a great position with our partners and our technology, and we're continuing to be the go-to premier company in this space.
Matt Larew: Okay. The last one is just a follow-up on VLx. Earlier this year on the fourth quarter call, you mentioned that there was -- it was revenue generated in '22 that, that would grow in 2023. We're now a little over a year into the launch. So I think it's just sort of an early access focused launch. But is there anything you can share with us about how much VLx is contributing to the financial model at this point or is that something that you may be able to start sharing next year?
Doug Doerfler: I think we'll be much more comfortable sharing it next year. Ali is on board, he's doing a great job, really increasing the visibility of the offering to high-profile clients and really just talking about how disruptive this technology is and how important it is going to be for early-stage development of these programs. So I think we’ll be able to provide a much more fulsome view of the strategy and provide some expectations when we do so in ‘24.
Matt Larew: Okay. Thank you.
Operator: Thank you. One moment, please. And our next question comes from Steven Mah with TD Cowen.
Steven Mah: Great. Thanks for the questions. Maybe a follow-up to Hannah's questions on SPL adds. Maybe I'll ask it in a different way. This is more with regards to the funnel of your SPL leads has the potential success of exa-cel? Has it led to more business development inbounds or tractions with potential partners?
Doug Doerfler: I think the pipeline itself continues to be really, really strong and great. We're having excellent discussions with folks. Some of them would fall into the same camp that we've been talking about, where they have they're early stage development companies, and they really don't have the financial support to move into the clinic. And so that's -- that can pause our SPLs, although I think it's fair to say that we've got other companies that we're working with that have that same situation and they're moving forward. I think my sense is that when exa-cel gets approved. I mean I think you heard in -- you heard it in the -- if you -- we heard it, we did -- we heard it in the AdCom meeting that there was very little concern about the manufacturing of that product. The safety profile looks great and the clinical evidence was extraordinarily strong. So our sense is that once that product gets approved, I think that's going to check a big box in the industry. And they're going to be looking upon us as the company that's going to be able to help accelerate and move those non-viral cell therapy assets into the clinic and through the clinic. And again, as we've mentioned, we continue to see an expansion of cell therapies in the new indication areas like autoimmune, for instance, we're seeing a lot of that in the past few months. We're also -- and that will require no doubt, more volume of cells to be delivered to patients on a longer period more of a chronic therapy. And I think that fits well with the scale and the efficiency of our system.
Steven Mah: Great. Thanks for that color. And one more question. when you brought the guide down in October, you mentioned inventory destocking of process assemblies. Some of the Bob production companies recently said on earnings that they're seeing a bottom with regards to destocking headwinds. Could you comment on what you're seeing out there? And if you have any customer visibility that suggests maybe there could be an uptick as activity picks up as this excess inventory gets used? Thank you.
Douglas Swirsky: Thanks for the question. This is DJ. So part of the challenge in answering that is we've got seven weeks left in the year, and we don't want to start providing guidance for 2024, talking about how we see that year starting off. But what we can say is that we've taken a very conservative view on PA sales just because we wanted to make sure that we would be comfortably providing this revised guidance and meet it and possibly exceed it. So we're very close to our customers. We've got a good sense that we've got a good number here for you. And a big part of that is PA. And so if you look at the breakdown of why we're confident with the revised guidance, we have very good visibility into the lease revenue. We've got seven weeks left in the year to execute against a good number of opportunities, of which only a fraction would need to close in order for us to be comfortable with our number. And of course, on the PA side, as we mentioned on the October call, we've really brought that down. We haven't factored into any recovery. We haven't factored in any of the seasonality that we've seen where you do get some purchases later in the year. We're just basically going off the daily run rate that we saw in Q3, which was depressed, and that gives us some comfort. But to fully answer your question, I think which are need to delve into what happens seven weeks from now and in turn 2024. We're just not in a position to provide really too much information there.
Steven Mah: Okay. Fair enough. Thanks for the questions.
Operator: Thank you I'm showing no further questions. I'll now hand the call back over to Douglas Doerfler for any closing remarks.
Doug Doerfler: Thank you, Justin, and thanks, everyone, for joining us today and your questions. We look forward to providing an update on the fourth quarter call. So thank you all very much. Have a great Thanksgiving. Thank you.
Operator: Ladies and gentlemen, thank you for participating. This concludes today's program. You may now disconnect.